Operator: Greetings and welcome to the Empire State Realty Trust First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Thomas Keltner, General Counsel for Empire State Realty Trust. Thank you, sir. You may begin.
Thomas Keltner: Good morning. Thank you for joining us today for Empire State Realty Trust's first quarter 2015 earnings conference call. In addition to the press release distributed last evening, a quarterly supplemental package with further detail on our results has been posted in the Investor's section of the Company’s website at www.empirestaterealtytrust.com. On today's call, management’s prepared remarks and answers to your questions may contain forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. Examples of forward-looking statements include those related to revenue, operating income and financial guidance as well as non-GAAP financial measures such as FFO, core FFO, modified FFO, same-store results and EBITDA. As a reminder, forward-looking statements represent management's current estimates that are subject to risks and uncertainties which may cause actual results to differ from those discussed today. Empire State Realty Trust assumes no obligation to update any forward-looking statement in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC. We also caution that prior period results which are referenced in any comment today may not necessarily be reflective of the results for Empire State Realty Trust if it had truly been a standalone entity during such periods. Finally, during today's call, we will discuss certain non-GAAP financial measures which we believe are meaningful in evaluating the Company's performance. The definitions and reconciliations of these measures to the most directly comparable GAAP measures are included in the earnings release and supplemental package, each available on the Company’s website. This morning's call is hosted by Empire State Realty Trust's Chairman, and Chief Executive Officer, Anthony Malkin; President and Chief Operating Officer, John Kessler; Director of Property Operations and Leasing, Thomas Durels; and Chief Financial Officer, David Karp. They will make introductory comments, after which we will open the call to your questions. Now, I will turn the call over to Anthony Malkin.
Anthony Malkin: Good morning. We are delighted to welcome you to our first quarter 2015 earnings conference call. On today's call, I will begin with a brief overview and update. John Kessler, our President and COO will then summarize some of the key takeaways from our recent Investor Day. Tom Durels, our Executive Vice President and Director of Leasing and Operations will then provide an update on our portfolio. And David Karp, our Executive Vice President and Chief Financial Officer will review financial results in more detail and discuss our balance sheet. Empire State Realty Trust is a pure play Manhattan and New York City metro area office and retail real-estate portfolio. We believe our portfolio offers a unique opportunity to grow income through our continued redevelopment and releasing of our properties, leasing them at market rents and bringing their occupancies to market. As we execute our work on our existing portfolio over the next three to four years, we expect to deliver meaningful embedded de-risk growth from the consolidation, redevelopment and lease-up of space at market rents to better credit and larger users. Over time, we intend to grow through additional acquisitions, we are happy that we can work on delivering our built-in growth given the prices, one has to pay to acquire new property in today's capital markets environment. We had a busy start to 2015. We achieved record leasing volumes in spreads this quarter. With leases signed for over 418,000 square feet of space, additionally we continue to increase observatory revenue. In March we enhanced our best-in-class balance sheet yet again with the closing of our private placement financing with Prudential. Since our IPO, my family has sold no share and remains a major stakeholder in the company. Our interests remain aligned with our shareholders, with the same objectives of value creation, capital appreciation and a growing and safe current return. Now I will turn the call over to John Kessler, our President and Chief Operating Officer. John?
John Kessler: Thank you, Tony, and good morning everyone. First of all, I just want to say that I continue to be impressed by our portfolio management team and prospects for growth. I'm just about three months in as President and COO and I can tell you that the team is giving me the support and Tony is giving me the authority to get on board and add value As you know on March 30, we hosted our inaugural Analyst and Investor Day on the 80th floor of our Flagship property, The Empire State Building. Our goal for the event was to provide the market with new and more in-depth information on our company, strategy and growth prospects for the years ahead. I would like to use my time this morning to briefly highlight the key themes we emphasize that day including the four drivers of our unique embedded de-risk growth, the timing and cost associated with our redevelopment and leasing programs and related returns on invested capital, our observatory and finally our disciplined approach to capital allocation. First ESRT has the unique opportunity to capture embedded de-risk growth within our current portfolio. This growth comes from four drivers each with significant incremental revenue potential that include approximately $33 million in contracted annual rent in the form of our sign leases which we expect to commence over the next 18 months, the opportunity to mark-to-market are expiring Manhattan office space which represents an additional $26 million and potential annual revenue. The lease up of our currently developed vacant office space and has a potential to add nearly $20 million in annual revenue, and this will grow as we redevelop more vacant space. And finally the mark-to-market and lease up of our vacant retail space portfolio which could drive an additional $17 million to $23 million in annual revenue. These four growth drivers have been our focus since our IPO. At our Investor Day we showed how our today's market rates we believe they will generate a $90 million to $100 million increase in annual revenues over the next five to six years. Second, we provided to you timing and cost associated with our redevelopment and leasing programs. For our white box particularly require four to six months to complete the space for the total spend that follows in a range of $118 to $162 per square foot. For the pre-built suites, we generally require five to seven months to complete the space and our total spend ranges from $159 to $204 per square foot. We also provided additional color around the volume of space it has been redeveloped is under construction and is yet to be redeveloped within our portfolio. Third, we provided perspective on our returns on invested capital associated with redevelopment. We believe that capital invested in our redevelopment program yields superior returns and has the best use of our capital at this time. We laid out that the increment NOI for the mark-to-market on redeveloped space as a result of our typical redevelopment capital generates and anticipated return on investment of 10% to 17% to white-box space and 9% to 15% for pre-built space. Fourth we provided additional information on our dynamics of our observatory which historically has performed to economic cycles, currency volatility and the opening of new attractions. Finally, we believe our strong and flexible capital structure with low average positions us to outperform over the long-term. We continue to transform our balance sheet as part of our overall strategy. With the completion of our recent private placement financing, we meaningfully extended our weighted average maturities. This proactive decision to refinance our debt with long term financing is representative of our strategy to reduce risk and provide significant capacity and flexibility within our capital structure to support our growth objectives through this cycle. David will provide more details around this transaction. I'll now turn the call over to Tom Durels. Tom?
Tom Durels: Thank you, John. Good morning everyone. On today's call I will review our overall leasing activity, discuss several significant leases signed during the first quarter and provide an outlook on space available in 2015 that we are currently marketing. Our first quarter leasing results included 60 new and renewal leases signed totaling 418,000 square feet of office and retail space. This represents 53% of our total four year leasing activity in 2014. Approximately, 367,000 square feet of this activity took place within our office portfolio, of which approximately 321,000 square feet took place in our Manhattan office properties. At March 31, 2015 our total portfolio was 87.6% occupied and including sign leases that have not yet commenced our portfolio was 90% leased. Our portfolio occupancy was slightly down by 100 basis points quarter-over-quarter and including sign lease is not commenced our occupancy percentage is up 40 basis points quarter-over-quarter. On a same-store basis our portfolio occupancy was up 90 basis points year-over-year and including sign leases not commenced our occupancy percentage is up 170 basis points year-over-year. We continue to drive strong rental growth spreads and during the first quarter rental rates are new and renewal leases across our entire portfolio were 149.5% higher on a cash basis, compared to prior escalated rents. This impressive number was largely driven by the 50,000 square feet of new retail leases we signed on which we realize it’s spreads that exceeded 860%. Spreads for our Manhattan office properties reached record highs. As we were able to sign new leases at spreads of 67.8%. Our average cost for tenant improvement and leasing commissions on our new and renewal leases within the portfolio was $90 per square foot excluding base footing work. We’re extremely proud of the efforts of our real estate team and leasing property management and construction and believe that these spreads reflect the ongoing success of our redevelopment program and the attractiveness of our portfolio. During the first quarter we signed several significant leases, which we discussed at our Analyst and Investor Day at the Empire State Building we signed three floor 78,000 square foot lease with HNTB an engineering services firm, a four floor of 27,000 square foot lease with Media General and a 21,000 square foot lease with Work Day. At 1400 Broadway we signed a 79,000 square foot expansion with on debt capital who now leases a total of 117,000 square feet of space. At 112 West 34th Street we signed two retail leases, the 11,300 square feet lease with Sephora, which we have previously discussed and we signed a 34,000 square foot lease with Foot Locker, which will keep them in a portion of the current retail space in a portion of the ground and entire second floor. In some these six leases plus our previous backlog of signed leases not commenced as of December 31, 2014 total and additional $33 million up incremental annual revenue as we have mentioned at our Analyst and Investor Day. At our flagship property the Empire State Building, we're 84.2% occupied down 60 basis points from the previous quarter. However, including our signed leases not yet commenced our leased percentage is now 89.8%. We currently have two fourth floors available and we will vacate four additional fourth floors by year end, which we will redevelop by the first quarter of 2016. Our urban campus with six onsite dinning options including STATE Grill and Bar as well as our tenant only fitness center and conference center, all housed in a fully modernized tropic building has proven attractive to tenants and brokers. As we lease up our available inventory, we continue to consolidate vacate and redevelop space in order to lease to better quality tenants and higher rents throughout the Manhattan portfolio. As we have said in the past occupancy may fluctuate in the short-term as we take space offline in preparation for redevelopment and releasing to better tenants at higher rents, which was the case this quarter. Keeping with this strategy, we expect to vacate approximately 400,000 square feet of space in our Manhattan portfolio by year end 2015. Within our Manhattan office portfolio, we have approximately 2,130,000 square feet of space left to redevelop and release. 570,000 square feet of this space is at the Empire State Building and 1,560,000 square feet is in the balance of our Manhattan office buildings. By year end 2016, we expect to redevelop between 650,000 square feet to 740,000 square feet of space. In our Manhattan office portfolio, we currently have 831,000 square feet of unleased vacant space of which approximately 501,000 square feet is redevelop space that includes 228,000 square feet of pre-builts, 188,000 square feet of demolished or white boxed full and partial floors and approximately 273,000 square feet of currently undeveloped space, which is targeted for redevelopment. During 2015, we are marketing 12 fourth floor office space availabilities. Five of these four floors are available now and seven floors will be delivered during the balance of the year. And in our retail portfolio we have approximately 36,000 square feet including nearly 8,000 square feet at street level at 112 West 34th Street, which we are actively marketing in advance of the existing tenants lease exploration of April 30, 2016 and 44,000 square feet a multilevel retail space including 15,000 square feet of street level space funding 34 street located at the Empire State Building that starts to become available this year. We continue to see healthy levels of activity in our sub markets with strong demand for our product. We are pleased with our strong start in 2015. We continue to work till this existing space and consolidate, vacate and deliver redevelop space in order to at least a new better credit tenants at higher rents and improved shareholder value. Now I'd like to turn the call over to David Karp. David.
David Karp: Thanks Tom and good morning everyone. I'll start with a review of our financial performance and follow with an update on our balance sheet. We'll then be happy to take your questions. For the first quarter we reported core FFO of $52.7 million or $0.20 per diluted share. For the first quarter 2015, core FFO excluded approximately $1.3 million of deferred financing costs written off in connection with recasting of our revolving credit facility at approximately $480,000 of severance expenses associated with a discontinuance of our in-house construction services business. Combined, these expenses totaled approximately $1.8 million which was excluded from FFO in the first quarter 2015 to determine core FFO. Stating last quarter, we reported modified FFO, which is defined as FFO plus adjustments for any above or below market ground leased amortization. For the first quarter, modified FFO was $50.8 million or $0.19 per fully diluted share. Turning to our observatory operations, the observatory hosted approximately 622,000 visitors in the first quarter 2015, representing a 6.3% decrease from the same period in 2014. We believe this decrease can be attributed to an increase in the number of bad weather days in the first quarter 2015 over the prior year. In the first quarter 2015, we experienced 25 bad weather days, 9 of which fell on weekend days. This compares to the first quarter 2014 in which we recorded 21 bad weather days, 8 of which fell on weekend days. Despite this, we are pleased to report that observatory revenue for the first quarter grew 5.2% to $18.2 million compared to the first quarter of 2014 due to higher admission pricing. The first quarter is historically a slow season for observatory attendance. I would also like to highlight that when comparing our observatory results this quarter to the first quarter of 2014, we number that starting with the second quarter of 2014 we made a change in how we record observatory inter-company rent on a quarterly basis. This has an impact on the first quarter year-over-year comparisons this year, but no impact on a full year basis and going forward our quarterly results will be more comparable with the prior year. Turning to our balance sheet, we maintain a low level balance sheet and we focused on maintaining ample capacity and flexibility to fund our redevelopment program and to put us in a position to outperform over the long term. At March 31, 2015 we had total debt outstanding of approximately $1.6 million with a weighted average interest rate of 4.10% and a weighted average term to maturity of 5.6 years. Approximately $1.35 billion of this debt is fixed rate with the weighted average interest rate of 4.61% and a weighted average term to maturity of six years. The remaining $256 million of debt is variable rate with the weighted average interest rate of 1.40% and a weighted average term to maturity of 3.4 years. At the end of the first quarter, our leverage ratio reflected by consolidated debt to market capitalization was 24.1%. As we mentioned in the last quarter, in January we terminated our $800 million secured term loan and credit facility and entered into a new $800 million unsecured revolving credit facility. In recasting this facility, we improved pricing, extended maturity and converted from a secured to an unsecured facility. Our unsecured revolving credit facility has a total capacity including the according future of $1.25 billion. At March 31, 2015 the outstanding balance on the company’s revolver was $165 million. At the end of the quarter has previously disclosed we completed a $350 million private placement of senior unsecured notes. This financing has a 12.5 year average life and a branded coupon of 4.08%. The proceed were used to repay the mortgage on 1359 Broadway which was the so debt maturity we had in 2015 and to repay borrowings outstanding under the revolving credit facility. With this transaction we have extended our maturities to weighted average of 5.6 years with no maturities in 2015 and 2016. The extend weighted average maturity compares favorably to the 3.1 year weighted average maturity that existed at the time of our IPO, 18 months ago. I’ll now update you on our redemption requests. As you may recall, for operating partnership units issued at the time of our IPO. Our lock-up period expired on October 7, 2014 at which time orders of such operating partnership units could have their holding redeemed for Class A shares which are listed and traded on the NYSE. As of April 15, we’ve had redemption requests from operating partnership units and Class B common shares to Class A common shares totaling 14.3 million shares or approximately $260 million at the closing share price of $18.22 on April 15, 2015. This represents a 17.4% increase in Class A shares since our IPO. On February 18, 2015 our Board of Directors approved a quarterly dividend of $0.085 per share. This dividend was paid on March 31 to share orders of record on March 13. To wrap up, we are pleased with our strong results in the first quarter and we are focused on carrying this momentum for through the year. We appreciated the chance to tell our story in more depth to many of you at our First Analyst and Investor Day in March. Once again we appreciate your continued interest in the company. With that, I'd like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Craig Mailman with KeyBanc. Please proceed with your question.
Craig Mailman: Hi, good morning guys. David, I just want o clarify, you told something about the observatory and comparability due to the inter company rent adjustments, does that do anything to the revenue comparison year-over-year?
David Karp: No, Craig, it doesn't, it was just on the inter company rent. We previously had done it on a straight-line basis and in the second quarter of this year we converted to estimating the rent based on relationship to the revenue for the year. So there is no impact on revenue it just does a better matching of our rent expense throughout the year.
Craig Mailman: Okay, thanks. And then Tony, I know you guys are hesitant to give updates here in a quarter but was just hoping may be you wouldn’t want to give us an update on how April traffic is trending from kind of the harsh winter here in the first quarter.
Anthony Malkin: Hi, thanks. Look, I think the important thing to recognize as we continue to look at things holistically, we can talk about the weather its, I hope not a condition of global ruining, the temperature we didn’t even sight, we just sighted the days bad weather days were at least 50% of the day you can do the top of the building from anywhere else in New York which means people don’t come as they don't see anything from the top. But actually temperatures were much lower in the first quarter. I guess beyond that, we won’t make any comment it's just to say that we are about to in the next month or so enter into this sweet spot of our year. So we really look at this low volume beginning of the year as it is what it is, its not really material to our overall performance, which is looking for to getting on with, as far as progress to date, we’re really going to stick to a quarterly report.
Craig Mailman: Okay. And then Tom, I appreciate the update on kind of what you guys have available and what's coming available and, I know I think you said two floors available to-date, the Empire State building and you’ll get another four floors there sometime this year but can you just give us a sense of where the other availability is in Manhattan portfolio.
Tom Durels: Sure Craig. As far as four floor availabilities, we have currently five full floors available, three of those are at 1400 Boardway, one at 112 West 34th Street, one at Empire we are delivering another four floor availability at Empire in the next month or so as we complete the demolition of that space. Through the balance of 2015 we will be delivering four floors of about 210,000 square feet the one I mentioned at Empire, three more at 112 West 34th Street, two at 250 West 57th Street and the other at 1359 Broadway. Throughout the portfolio we have pre-builts of over 228,000 square feet that are currently builds or being constructed now and we will deliver pre-builts as the year progresses. So it's really throughout the portfolio that we are actively creating new available space as we consolidate and vacate and redevelop space in either pre-builts or these full floor availabilities.
Craig Mailman: Great. And is there any differentiation in the pace or demand you’re seeing for the pre-builts versus the white box space? Are you guys just seeing, what in the pipeline, just higher percentage for pre-builts or there is some bigger tenants coming kicking around there, who may just not be able to go to mid term south and I look in Empire State building or other building as a alternative.
Tom Durels: Generally I would say that the demand is broad based we see regular steady activity and demand for pre-builts throughout the entire portfolio, basically as we build new pre-builts and deliver to market that they lease up. As far as full floors while the lease up time may be generally a little bit longer than pre-builts that moved more frequently based upon the higher number of individuals suites delivered to market. We are seeing steady demand throughout the portfolio for both the full floor availabilities and the pre-builts. So I can't say that there is a less or greater demand for one or the other, so the good news is that we’re seeing strong demand throughout the portfolio for both space types and at all of our properties.
Craig Mailman: Great. Thanks guys.
Operator: Our next question comes from the line of Brad Burke with Goldman Sachs. Please proceed with your question.
Brad Burke: Hi, good morning guys, I actually wanted to ask another follow-up on the observatory. I actually thought the weather this year was a little bit better than last year, but I know you guys tracking more closely than I do. If we think about the three things that I imagine at least could possibly cause a decline in the attendance that you saw year-over-year. The first being weather, the second being any potential impact of FX on foreign tourism. And the third being the impact of the price increase that I think had that was implemented towards the end of the quarter. How should I think about the attribution of the attendance declines between those three factors?
Anthony Malkin: First of all happy to give you our weather data that we can assure on the number on there. Number one, number two as far as tourism to New York City we have limited data from which to work to give us indications and thus far there’s really no conclusion that we can draw off from what we've got when we look at credit cards through direct transactions that have been done with us that's our only data point right now and we don't see any indication there. And as far as pricing please remember we’re not leaders in pricing, we're followers, so the One World Trade Center set the tone in addition we’ve got other attractions in New York which have moved their prices up. We followed in that we did increase pricing on February 27, on base express and 102 tickets and stead us on April 1, but we did that - that was only by the way for retail transactions that wasn't for the tour and travel business, which still will take place that pricing change on April 1. And with that change we monitored social media very closely and carefully, we've had no increase, no comment and negativity about the pricing change.
Brad Burke: Okay, that's helpful. And the second one looking at the same-store statistics that you're putting together, I’m curious what was driving the decline in the year-over-year same-store NOI on a GAAP basis and obviously the releasing spread particular this quarter have been quite good. And I imagine that there is big until layer into some extent and the occupancy is up actually year-over-year. So was trying to understand what would be driving the decline?
David Karp: Well Brad if you are looking at the decline that’s only on a quarter-over-quarter basis roughly around 5% and that's exclusive of the observatory. Obviously the observatory has the seasonality. But if you take that out of the analysis, really two things drove that quarter-over-quarter decline in same-store NOI, the first was as we expected there lower occupancy and that's result of taking back space and redeveloping it. Secondly in the fourth quarter of last year we did have that unusually large lease cancellation fees about $4.4 million, which was not reoccurring income item and therefore wasn't in the first quarter numbers.
Brad Burke: Okay. So the decline was entirely attributable to the comp on the lease cancellation fee and then the occupancy?
David Karp : Correct.
Brad Burke: Okay. And then actually it leads into the last question, Tom I’m going to have to go back and think about everything that you have said in terms of the space that you’re bringing on and also the development that you are going to be focused on the balance of the year. But last quarter you gave some indication of how you’re thinking about occupancy trending and you said that you thought it would be - I think it would be flat to maybe slightly down just as you take back space. Are you able to summarize everything that you give into us and give us a sense of how we ought to think about occupancy trending over the course of the year given all the moving parts there?
Tom Durels: Sure. Through the first quarter Brad we vacated approximately 200,000 square feet in our Manhattan office portfolio. We now expect to vacate another approximately 400,000 square feet through the remainder of 2015 for the Manhattan office portfolio. As part of that, as part of our process to vacate, facilitate and redevelop space, we expect to redevelop between 250,000 and 300,000 square feet of space by the end of 2015 and then another 400 to 440,000 square feet or space redeveloped by the end of 2016. So we expect to redevelop by year end 2016 about 650,000 to 740,000 square feet and we’ll continue that program right into the first quarter of 2017. So, while our momentum is good, the demand is quite strong for our properties and product as we take back space and we raise at higher rents and I don’t think that one can expect occupancy to necessarily increase and that might remain flat or decline slightly as we execute on that program to vacate and redevelop space.
Brad Burke: Okay I appreciate thank you guys.
Operator: Our next question comes from the line of Brendan Maiorana with Wells Fargo. Please proceed with your question.
Blaine Heck: Hey guys it’s Blaine Heck for Brendan, on the 400,000 square feet that you guys are taking back in the rest of this year. Can you guys comment on what the rents on average are for that space I think the average for your Manhattan portfolio is around $45, is it inline with that?
David Karp: It’s bit less on the space that we have targeted to vacate and redevelop the in place fully escalated rent is approximately $39 per square foot and that’s for all of the 400,000 square feet that we have targeted to vacate by year end.
Blaine Heck: Okay that’s helpful. And it looks like the non-renewals you guys did in the quarter was around 130,000 square feet is that number right and what was the timing on those?
David Karp: The timing on the non-renewals that occurred in the first quarter?
Blaine Heck: Yeah was it more heavily weighted in the beginning of the quarter or end of the quarter?
David Karp : I actually don’t have the breakdown specifically on the timing of when those space vacated throughout the quarter, but it is in line with our expectations we actually vacated approximately 200,000 square feet during that quarter.
Blaine Heck: Okay that’s helpful and then it looks like street line rent went up pretty substantially in the quarter, should we just expect it to stay around this level or increase as you guys are going through this lease up process?
Anthony Malkin: But as we continue to sign new leases and incur free rent periods you’re going to see in a movement in these straight line rent line item that’s going to be a function of our leasing activity.
Blaine Heck: Okay. Fair enough, thanks.
Operator: Our next question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your questions.
Jamie Feldman: Thank you and good morning I guess just starting out was there any of the vacancy increase in a portfolio during the quarter that was just move out as opposed to space your plan to take back and redevelop I guess I’m just trying to figure out more importantly the health of the portfolio?
Thomas Keltner: Jamie it was a blend I’d say that the majority of those vacates related to spaces that were targeted for redevelopment and therefore tenants that we chose not to renew who are intentional vacates as far as the health of the portfolio at large, keep in mind as we lease space to the tenants. We’re leasing to high quality tenants and building a very high quality rapport, but as we go forward as I said we expect to vacate about 400,000 square feet for the balance of this year and certainly as we target spaces for redevelopment, we’re looking at the call it tension in place as well as the opportunity to redevelop space and release it to better tenant for higher rents.
Anthony Malkin: And Jamie, Tony here just one question are you inquiring as to people who moved out because of credit issues or people who may have moved out because they think the rent is too high on their renewal or for whatever reason try to moved out from non-economic non-business concern reasons?
Jamie Feldman: Well, yeah I mean bigger picture just trying to get a sense we’re comfortable with the move out because you guys are redeveloping the assets, but whether move out just because tenants moved out for whatever reason beyond space you’re targeting and if so why?
David Karp : Jamie as far as the normal turnover of tenants I would say that for the most part if it’s space that has been redeveloped such as a pre-built we do see a normal turnover, but upon turnover that space strictly requires very modest refresh in terms of for releasing. We saw very little turnover in the quarter due to credit loss. So again as I point there was some modest turnover relative to normal tenancy moving out but the majority was intentional vacated kind of spaces that we chose not to renew.
Jamie Feldman: Okay. That’s helpful. And then Tony any latest thoughts on acquisition opportunities?
Anthony Malkin: Working hard on any number of different initiatives extremely happy we have this deeply embedded de-risk growth within the portfolio. We’re very conscious of the fact that we are getting these 9% to 17% returns on equity depending upon the situation or how you looked at the way we have demonstrated this in the presentation at the Annual Investor Day. But I do think that it’s worthwhile highlighting from our perspective just the importance that we place on allocation of capital and well in today’s world we might be able to utilize our balance sheet to produce modestly accretive acquisitions. When you look at these leasing spreads that we accomplished in the first quarter even removing the outsized growth from the retail. It demonstrates that the exercise through which we went in our Investor Day presentation are showing a static market over expiring fully escalated rents and the source of spreads we would see, was really a very base case, low case scenario of what we think this portfolio can do and with that in mind, we’re very focused on any initiative at which we look and we had a lot of opportunities for acquisition. We want to maintain the flexibility for growth, when growth can be acquired at the right price per pound and in the meantime we do have many years of built-in growth for which we feel very fortunate.
Jamie Feldman: Okay, thank you. That’s helpful. And then finally just talking about the focusing on the suburban assets, can you may be give an update on some of the, how those markets are trending?
David Karp: Jamie, we are 93.5% leased on property feel very well as I commented in the past, most of our properties are now mass transit over there either all in your mass transit or at major total fares. The fully amortized, fully improved always based the second generation, we got an excellent high quality rental. We think we outperform in that market. We think that one should not look at the larger market stats but that the immediate competitor set has a much lower vacancy rate as you look forward over the next two years, we’ve very limited lease roll, so we’re seeing, we’re seeing good traction, good interest in our properties, we are able to move rents modestly, year-over-year about 3% to 5%. We like how we’re doing that.
Jamie Feldman: Okay and it seems like we’re seeing more capital flow into with transit service secondary market, or secondary sub market and would you have any interest in selling those assets?
Anthony Malkin: At this point we like those assets, they produce good contribution to NOI was very low, capital expenditure, they’re already turned around and as I think I may have mentioned before Jamie, when we’ve had conversation when you look at the suburbs, they have an aftershock relationship to what happens in Manhattan. So we actually think that there is rent growth if Manhattan continues to move as it is moving out in the suburbs, we think that also will be reflected by as of has in past cycles, greater appetites at lower cap rates then are presently in place in the suburbs. So at the moment we like that the mix of contribution to expense and what we’re always looking at everything, we don’t see any strong reason to do anything out there at this time.
Jamie Feldman: Okay, great. Thank you very much.
Operator: Our next question comes from the line of John Guinee with Stifel. Please proceed with your questions.
John Guinee: Great, thank you very much. Hi probably this question is for Tom, are you guys are competing at a very attractive price point in the Manhattan market, lot of velocity in those price points. Can you talk a little bit about the pricing for a tenant at the Empire State building and the 34th Street Corridor, relative to what I think is a lot of upcoming vacancy in the 6th Avenue Corridor and just sort of broad based numbers on a net effective rent basis as to how much lower or higher you are than a typical floor on the 6th Avenue Corridor or whatever is the most relevant competition to your portfolio?
Thomas Keltner: John, thank you. Right I think we are at a very attractive price point where there is great demand within the marketplace with generally those done in the first quarter and in the range of the high 50s, we now increased our asking rents generally into the low 60s to low 70s per square foot at Empire State putting in throughout our portfolio. We expect that based upon that price point there is going continued to be healthy demand, relative to the other market availabilities, the point out to 6th Avenue depending on the phase of the property and the quality of that asset, there generally prices are going to be on 6th Avenue could be $10 to $20 or more higher per square foot again depends on the assets that one will see. So I think that what we say is that, there is strong demand for our location, our product and I think that there is a general appeal to tenants that want the architectural location there properties provide. Some of the tenants that we speak to candidly will not consider 6th Avenue, just wasn’t on their radar regardless of price. So they are being drawn to our sub markets and specifically our properties and the product that we’re delivering. So to sum up, comparison to 6th Avenue really depends on the property, our property is really going to discount to much of their offering on 6th Avenue.
John Guinee: And then asking the same question in a little bit different way, is that you look at your lease economics how does that compare say to Brookfield place down in lower Manhattan right now.
Anthony Malkin: Well I'm not going to comment on in terms of the economics on Brookfield place, I'm not really going to comment on there cost of delivering this space. We have provided excellent detail and visibility on the cost for us to deliver our product both on pre-builts and for full floor availabilities. We provided that detail during the Investor Day in terms of the cost on a per square foot basis to deliver our space.
John Guinee: Okay. Let me just say at different way is, can somebody get space in the 34th Street Corridor at the same level to pricing as a Brookfield place in lower Manhattan.
Anthony Malkin: I think that there is a some comp availability that went to 0.2 in the 34th Street Corridor relative to Brookfield place. But again it's a completely different set of dynamics, it’s a completely different location and different product. Generally we are not competing for tenants that are looking at Brookfield place. The tenants that we’re attracting are for the most part focused on mid town and focused on our sub markets.
John Guinee: Okay, perfect. Thank you very much.
Operator: Our final question comes from the line of Tom Lesnick with Capital One Securities. Please proceed with your questions.
Tom Lesnick: Great, thanks for taking my questions. I just wanted to turn back to the observatory for a minute, apologize if I missed heard you earlier but, could you clarify the definition about weather day again, I thought I heard you say was not being able to see the top of the building and not being based on temperature or rain or snow, is that correct?
Tom Durels: It's not temperature, its not rain, its not snow, it’s obscured visibility for more than 50% of the day and obscured means, you can’t see the top of the building, if you at the top of the building, you can’t see anything that's out, that’s what we call bad weather day. And that what that means, now by the way rain, snow can also have impact, temperature has impact towards New York when it's colder, they tend to do indoor activities. This is a known factor in the visitation, so hopefully that answers your question.
Tom Lesnick: Understood. And maybe you could ballpark for us perhaps, what the average overall traffic impacts for bad weather day is, is it a 25% lower, 50 lower traffic on those days?
Tom Durels: Well, let's put at this way. That’s an interesting question and its something that we might look at considering in the future and as we got these questions by the way on the observatory as we did for the Investor Day we certainly are taking them into account as we do all the questions that we get from you guys and we give consideration to what additional disclosures we might provide in a future. But at this point not prepared to give anything statistically but I will say, when we look at the weather that we had and its not just the weather we had at the days on which we had it, when we have a last day of New Year weekend and it is a bad weather day, and on that particular day it wasn’t 50%, it was zero visibility, there was a low fog over Manhattan that literally killed a big day. So most of the bad weather that we’ve been having in Manhattan this year-to-date has not been periodic through the day. When we do get those days we typically do get surges during the times of visibility if it's a clearing day or if it's known to be clear in the morning and bad weather is coming. And that's less impactful. When we're talking about many of the events that we had this year and we might go back and look at that for a little more clarity, and as we report these bad weather days in the future, we’ve had many, many days this year of just down right and zero visibility above sort of a 50th floor in Manhattan for any building and that just impacts the entire day.
Tom Lesnick: That's helpful, thanks. Finally on the observatory, I was just wondering if you could provide perhaps a ballpark differential between average week day traffic versus weekend traffic. Is it twice as high on weekend, three times as high what is a factor that is just proxy for the differential?
Tom Durels: That’s great question and I think that that's something that which we might look for a disclosure in the future. What I would say generally speaking now is week days during vacation periods obviously are different from week days during non-vacation periods. And I would emphasize when we look at the first quarter in general week days weekend, the first quarter is the slowest lowest production quarter we have in a year. So the long story short on that is, we feel but particularly since leaves are finally beginning to come out on trees in Manhattan, though they haven’t really in the surrounding summer yet, that was some decent weather like we’re getting, today hopefully planned for this weekend is supposed to be a great weekend that we’re starting to get back into, not to do normal business week day or weekend. We just had very few high traffic workable days in the first quarter based on Easter or New Year's and when you look at what the weather conditions were they were impactful.
Tom Lesnick: Make sense. And then finally just shifting as we think about the run rate of revenue going forward in the space that you took offline in 1Q, was that taken off ratably through the quarter or is it maybe front end loaded, back end loaded how should we be thinking about that?
David Karp: As I commented earlier, I'm really not in a position to provide the detail exactly the - when it during the quarter that space was taken offline. I think if I were to dissect it, we would see that it generally spread throughout the quarter, because it's comprised of quite a few small spaces and throughout the portfolio. So I don’t think that we want to look at that and say it was weighted towards one specific week or month within the quarter, but I think we'll find it’s generally with spreads throughout the quarter.
Tom Lesnick: All right, fair enough. Thanks guys I appreciate it.
Operator: Thank you. We do have a follow-up question from Jamie Feldman with Bank of America/Merrill Lynch. Please proceed with your question.
Jamie Feldman: Thank you. Just a follow-up on the observatory, have you been able to see any change in trends to forward sales through operators, not as the - downtown observatory is [indiscernible]?
Anthony Malkin: We see nothing at this time Jaime, and I think that I have to understand how we actually do forward sales. They acquire them on pretty much and as needed basis or else they redeemed through sales that they made, but lot of story short it’s early we don’t see anything.
Jamie Feldman: Okay. Thank you.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to Mr. Malkin for closing comments.
Anthony Malkin: Thanks very much. And thanks to everybody for joining us today. We appreciate you’re taking the time to speak with us. We really appreciated the terrific attendance we had at our Investor Day. We are working with investors to address questions as their timely presence are very helpful to us in formulating how we’ll adjust disclosures as we go forward. We look forward to sharing our continued progress on our next call and lot of meetings will have with you at May. We thank you all and have a great day and I would just add if you are in New York on Friday evening, you may have read in the press about the project we're doing with the Whitney showing 10 great part works representationally not so much, but interpretationally yes on the top of the Empire State Building it’s very exciting, it’s got the art world of buzz and it will be very fun to do. So in any event, thank you very much. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.